Vesa Sahivirta: Good morning everyone, and welcome to Elisa's Third Quarter 2024 Interim Report Analyst Meeting and Conference Call. I'm Vesa Sahivirta, the Head of Investor Relations. And here together with me is now very familiar team CEO, Topi Manner; and CFO, Jari Kinnunen. We have also some audience here. We start this meeting with a presentation followed by Q&A. And first we take questions from the audience. I think we are ready to start. So I give word to Topi. Please go ahead.
Topi Manner: Thank you, Vesa. And good day everybody, both here in the room, as well as to those of you who are joining remotely. Thank you for putting the time aside to join this earnings call. Let's dive right into the slides and look at the highlights of our Q3 at Elisa. Our revenue during the quarter decreased by 2%, and that was mainly due to the net impact of acquisitions and disposals. Also, lower equipment sales contributed as consumers are prolonging the interval of changing their devices, and then the regulated revenue related to the interconnection as well as corporate numbers contributed to this. If you sum up all of those, it boils down to €14 million in terms of revenue. Eliminating that would have meant that the revenue would have increased with couple of decimals. Our high-margin services revenue continued to grow during the quarter and together with the efficiency measures that we have been doing, that meant that our EBITDA was up by 4%, basically in line with the EBITDA development that we have been seeing during the previous quarters. Mobile service revenue increased by 4.8% so we continue to see mid-single-digit growth in mobile service revenue. International digital services revenue increased to 25% supported by bolt-on M&A. The organic growth in the IDS amounted to 7% on year-on-year basis during the quarter. In Finland, the churn increased to 16.8% whereas in Estonia the churn decreased a bit and was below 10%. We continue to see increase in fixed broadband subscription base that increased by some 8,000 subscriptions. Good momentum in 5G continues. The upsells trend continues. And we are today upgrading our EBITDA outlook for the year. So when we look into the numbers, I pretty much covered the revenue part already, so the business disposals, regulated revenue and equipment sales will need to be taken into consideration. Overall, the macroeconomic development during the quarter remained very subdued. So even though the interest rates have now started to decrease and inflation numbers have come down, we are not yet seeing that in material fashion contributing to the demand that we have on the consumer or the corporate services. The increases in revenue are coming from the high margin quality items in terms of revenue, namely from mobile and fixed services and IDS. In terms of EBITDA development, the EBITDA margin improved to 38.4%. So Q3 seasonally always is the highest in terms of EBITDA margin. But when we compare to same quarter last year, there's almost 2% units of increase in this one. And that is coming from the mix impact of the business. So mobile services definitely contributing the business disposals and also the efficiency improvements that we have been doing. ARPU increased with 5% and in the 5G category the upsells continues to be intact. And whenever we upgrade a customer from 4G to 5G, we get an average monthly billing increase of some €3. And that part of the subscription landscape has been intact. As previously, we have been having some active campaigning in the 4G space, so the competition there remains keen, and especially during the course of the summer in July, in August, we saw some sporadic irrational behavior by some of our competitors. And we are keeping a close look at this, and our long-term approach remains the same as it has been. So we will be keeping our long-term market share in terms of mobile subscriptions. When we look at the business segment by segment, given the mentioned issues related to revenue in Consumer Customers, the revenue decreased with 1%. That was especially driven by equipment sales and the discontinuation of the Viaplay cooperation. EBITDA percentage in consumer business increased to 43%, which is a good number, a strong number in historical comparison. And the overall consumer segment EBITDA increased with 4%. In terms of corporate customers, we did see the macro situation impact the revenue a bit, corporate customers rationalizing especially their IT spend and their connectivity spent, so that impacted a bit. But it impacted especially in the low margin end of our product range. So the positive momentum in terms of profitability development in the B2B segment that we started to see in Q2 continued in Q3 and the EBITDA for the B2B segment was up 3%. And that was especially driven by the mix impact when the EBITDA percentage for the B2B segment increased to 31% from '26 during the previous quarter. We continue to be very focused in executing our strategy. Increased mobile and fixed service revenue is key part of our strategy, and as stated the 5G upsells continues, we are very active in the fiber built at this point of time. In growing digital service businesses, we do see medium-term growth opportunities. We see that in international digital services, in our software arm of the business where we also just recently announced an acquisition of sedApta Group, an Italian software company where we have been a minority shareholder for three years, so we know the company well. We also see growth opportunities going forward in corporate IT and cybersecurity and in home-related digital services in the consumer part of the business. And we as ever, we continue to be very focused in continuous improvement. In terms of efficiency and quality, we have been taking steps on that one during the course of the year. And we are increasingly seeing the benefits of AI and automization in various parts of our customer servicing elements of the organization by taking new AI tools into use. So as stated the 5G upsells continues to be intact. So if we look at the high speeds, namely above 200 megabit speeds, our penetration currently stands at 56%, and the trend of high-speed upsells continues as we have seen it continuing during the past quarters. At present time, the smartphone penetration in our markets is 61%. And we do see 5G sales picking up in the corporate space, especially now recently with some larger corporate customers. During the quarter, our 5G population coverage reached 95%, so work on increasing the penetration continues. As mentioned, the average billing increase in 5G upgrades continues to be over €3, and that picture is intact. We have a differentiating product currently with 5G standalone capability being embedded in our subscription plans. We call it 5G Plus, and we have accelerated growth in those subscriptions. So that is good to see. In the fiber space, we continue to be active in building fiber, investing in fiber. We have recently bought some individual assets, fiber assets. During the summer we bought Kaisanet in the Eastern part of Finland. And currently, the market is pretty fragmented in fiber space, and we see that being ripe for consolidation. And, we are ready to buy individual fiber assets if we find attractive opportunities in that part of the market. In terms of our international software business, IDS, the highlight of the quarter really was the acquisition of sedApta. As stated, we know this company well, we have been a minority shareholder for three years, and now with the deal of a little more than €60 million, we acquired the rest of the share capital in this company. So sedApta is an industrial software company based in Italy, having a strong foothold, especially in the Italian market. It has been established in 2014, so 10 years of age, has been growing rapidly during that time. It is profitable business, has some 500 employees, especially in Italy, but also in Germany, France, U.K. and a strong product offering. And with that product offering, we see intriguing prospects for growth, especially in Europe, with geographical expansion going from the current markets and penetrating further the current markets into new countries in Europe, and thereby leveraging that product offering with the customer base that we have in the other parts of IDS, and also with the resources that Elisa will be bringing to the sedApta business. So a significant step forward, the sedApta acquisition for our IDS business and scaling of our IDS business. In the business in itself during the quarter the revenue increased as stated with 25% supported by the bolt-on acquisition. Despite of the soft macro environment, especially in industries globally and in Europe, we saw a 7% year-on-year growth. And our order intake continues to grow as expected. When we look at our order book, when we look at the timing of the projects that our customers are carrying out, we expect to see a strong quarter in IDS for Q4. And that is why we reiterate the expectation that we will be seeing double-digit organic growth for IDS during the course of full year '24. As stated in our industry part of the business in the industrial automation, the highlight of the quarter really was the acquisition of sedApta. In the Polystar business that is directed toward telcos, we had some very good customer wins, especially in Europe and in APAC. So that was good to see. And then we have a customer experience assurance product where we have had multi-country deals for some big telcos in Europe, and some of those deals were successfully renewed during the quarter. So that was also encouraging to see. When we move over to the domestic digital services, perhaps one sort of anecdote is worthwhile to share. We are continuously doing all kinds of innovation in terms of our product. And with Elisa Viihde, namely Elisa entertaining services, we introduced a new codec, a new data compression functionality, and with that we were able to decrease the amount of data transferred for this service with 30%. So I think that this is a good example of the continuous productivity improvement that we are doing. And this of course translates to better customer experience. But in the world where the data consumption is increasing rapidly and people are building data centers, all the time, consuming more and more energy, these kind of innovations, data compression innovations, also will be having a distinct sustainability angle in them. So a good example in the work we are doing in the sort of borderline of innovation and sustainability. In our domestic digital services, in the entertainment business, we also launched the 42nd original series celebrating the 10th anniversary of Elisa entertainment original series with a new launch called Valhalla Project that has been very well received by customers and already now gaining international interest. When we look into the IT and cybersecurity, in our home market of Finland and Estonia, we are increasingly embedding AI solutions to our service offering in terms of IT. Cybersecurity in all shapes and forms is a hot topic, I guess, in societies at large, definitely here at our home market. And we have great capabilities in terms of cybersecurity at this point of time. We have been winning bigger customer deals in terms of cybersecurity. For example, the Finnish Post, which is one of the biggest logistical companies in the Nordics and one of the biggest employers in Finland recently transferred their cybersecurity to be handled by us. We have very, very high customer satisfaction in the cybersecurity base. NPS being as high as above 90 points. So I think that, that is a telling story of our competitiveness in this category of services. In terms of sustainability, we are taking continuous steps forward in terms of improving our standing with key ESG metrics, for example, making good strides in improving the energy efficiency of our business. And as stated today we are improving our EBITDA outlook for the year. So the EBITDA guidance has been that we expect it to be for the full year on same level or slightly higher. And now we let go of the same level, so we expect it to be slightly higher than it was in 2023, as we have seen during the quarters of this year. So I think that, that pretty much wraps up the solid development that we have been seeing during the Q3. And now I will hand over to Jari, who will go through his slides and then we take the questions after that. So thank you.
Jari Kinnunen: Thank you, Topi, and good morning. Let's start with profit and loss. Revenue change was €9 million negative impacted by regulative changes in the connection price reduced beginning of the year, €3 million negative impact from that equipment sales continued fairly similar trend what we have seen earlier quarters, so minus €5 million. Total service revenues in Corporate Customer segment were down 4 million fixed services, negative impact from traditional voice also. Macroeconomic impact visible in corporate numbers or corporate networks, local area networks as a result of reducing employees or office space with some customers. Also corporate service number change regulation beginning of the year impacted to fixed services in corporate segment. Positive change and growth in corporate segment continued in mobile service revenue and also in digital services, both domestically and international digital services growing. Total service revenue in consumer segment was growing 4 million mobile services, solid growth continuing very much driven by 5G, negative impact from Viaplay cooperation ending end of last year Q3. So there's no impact on that in coming quarters anymore, also in fixed services, traditional voice decreasing trend continued. In earnings in EBITDA solid 3.7% growth, €7 million and margin improvement to 38.4%. Same with EBIT, 3.6% growth and to €136 million. Margin improved also to 25.4%. In financial expenses, there was an increase €4 million, mainly due to higher interest relating to refinancing last year's September. EPS was at the same level at €0.63. In Estonia, very much same trend. Revenue impacted negatively by interconnection revenue as a result of price change. Also equipment sales were down. However, service revenue growth, both mobile and fixed services growing. EBITDA improved and increased by 4%, cost efficiency measures and revenue mix change contributing to that. Mobile postpaid base was slightly growing and prepaid growth was 3,000 and churn came down from previous quarter to 9.4%. Then looking at CapEx development, Q3 was higher, €93 million reported CapEx excluding licenses, lease agreements and acquisitions, guided CapEx was €77 million and 14% from the revenues year-to-date CapEx, so nine-month CapEx is fully in line with the guidance between 12% and 13%. And main CapEx relate 5G to 5G and fiber network building as well as IT investments. Cash flow was growing and comparable cash flow growth 4% to €111 million positive impact from EBITDA, lower license fee payments and positive net working capital gains a negative from higher CapEx. Nine months CapEx comparable cash flow is €291 million, 2% growth from previous year. The same positive impacts EBITDA, license fee payments lower as well as net working capital positively developing, CapEx higher and taxes and interest higher impacting negatively to the growth. Cash conversion continues to be high 6 -- EBITDA operating cash flow conversion 63% in Q3. Then moving to balance sheet and capital structure in line with targets net debt to EBITDA 1.7 times, equity ratio at 38% and return ratios continue at good level, return on equity 30.5%, return on investments 19.3%. And in terms of financing currently on average interest expense to interest-bearing debt is at 2.5%. And there will be a dividend payment in this month. So second tranche €1.12 will be paid 13th of this month. And calculating these two tranches together, total dividend €2.25, payout ratio 95% and growth 4.7% against previous year and tenth consecutive growth year with distributions, underlying strong commitment to competitive shareholder remuneration. And now Vesa will continue.
A - Vesa Sahivirta: Okay, thank you, Topi and Jari. And now we move on to questions. And first we take question from audience, and it comes from Sami.
Sami Sarkamies: Okay, thank you, Sami Sarkamies, Danske Bank. I have three questions. We'll take this one by one. Firstly, on the corporate outlook, I think you sounded a bit more positive after second quarter. You were seeing signs of recovery with large customers. Are you now actually more concerned that trading conditions could get incrementally worse as we go into Q4 and next year?
Topi Manner: I think that what we are seeing is that the recovery on the back of the interest rate decreases, especially in the industries will be probably a bit more bumpy than many people have been expecting. When you look at our B2B segment numbers, I think that you will need to pay attention that the EBITDA momentum actually continues. So EBITDA is increasing 3% in B2B segment on quarterly basis. So increasing also with a notch from what we saw in Q2, and clearly increasing from what we saw during the first part of the year. So the high-quality earnings in B2B are moving forward as planned. But then if you look at the sort of bigger IT projects, especially equipment sales, that are contributing to the revenue, but not that much to the profitability, there we are seeing sort of some fluctuation. And most likely it is also something that companies will need to put together their numbers for the full year, and then they are scrutinizing their spend as of now. And that is a phenomena that we are observing on the market.
Sami Sarkamies: Okay, thanks. Then moving on to domestic mobile business. If we look at the competitive landscape, I mean, we have to go back to '22 to see as high churn rates as you had in the third quarter. Can you comment on the situation and what is causing that high churn? You're also losing customers now. And when we get into Q4, have things actually improved or become worse?
Topi Manner: So I think that we need to slice and dice the market in order to have any sort of true understanding of the market. So the 5G category and the upsells from 4G to 5G is intact. The upsells continues and price levels are stable. We get above €3 average monthly billing increase when we upgrade customers to 5G. So that's very important. In the 4G, as we have been stating previously, there is campaigning ongoing. That has been the case for full year, but then especially in July, in August, we did see some sporadic irrational behavior in terms of campaigning, and that is noteworthy. For the time being, things are a bit more stabilized also in there. Coming back to our long-term approach, it is very, very clear, we will be keeping our market share in this space.
Sami Sarkamies: Okay, thanks. And then a detailed question for Jari. Depreciations have started to creep up this year. They grew 4% in the third quarter. What is causing that?
Jari Kinnunen: Well, we made some acquisitions of regional fixed-line assets, fiber assets. So that's one thing that is impacting.
Sami Sarkamies: Okay. Thanks.
Vesa Sahivirta: Then the next question comes here. Felix, please.
Felix Henriksson: Hi, thanks. Felix Henriksson, Nordea. I also have three questions. I'll start off with the Finnish consumer mobile business as well. I saw that at least based on lease prices, you did take the opportunity to hike mobile prices in Finland in conjunction with the value-added tax increase in September, maybe a bit more than the tax hike itself was. How did you see customers responding to those price hikes? Was that any explanation to the sort of customer churn that you saw during the quarter?
Topi Manner: No, I don't think that we saw any significant churn impact out of those hikes. But of course, generally, whenever prices are changed, no matter whether it's on the back of a generic VAT increase on the market or for some other reasons, that sort of triggers customers' interest, and then they might be prompted to consider that you know how they will organize their services and whether they potentially look for better offers. So that is a generic phenomenon to any given price increase. But as stated, the bottom line is that we did not see any significant impact out of this. The price increases that we connected to the VAT increase were done to the front book prices. So they are not visible basically in the Q3 numbers. They will be sort of gradually filtering through in the quarters to come.
Felix Henriksson: Thanks, that's very clear. Then secondly, on CapEx, for the second consecutive quarter, it was a bit higher than in the past. And now year-to-date you're at like 13.4% of sales, which is a bit above your guidance. Should we sort of read the elevated CapEx in third quarter as a sign of seasonality of the fiber build and that's set to come down in the fourth quarter? Or is there something else that's explaining that?
Topi Manner: The seasonality of the fiber build, to your point, is a very, very important element and this one needs to be understood. We will keep our CapEx guidance for the full year, so we will stay -- stay within the guidance that we have been keeping. And that of course should be factored in when considering the cash flow for the full year.
Felix Henriksson: Got it. And lastly to Jari, you mentioned about financial expenses and the sort of year-on-year impact from the refinancing that you've done. But also sequentially, financial expenses on a net basis were up by roughly €1 million. So can you elaborate on that a little bit?
Jari Kinnunen: Yes. So of course, a net debt amount impacts that, but maintains relates to this refinancing that we did September last year. So for the year-on-year change and then for quarter-on-quarter change, it's mostly matter of amount of debt outstanding.
Felix Henriksson: Got it. Thanks.
Vesa Sahivirta: Okay, thank you. Any further questions from the audience at this point of time? There seems to be no questions from audience. So we ask first question from the conference call lines, please.
Operator: [Operator Instructions] The next question comes from Andrew Lee from Goldman Sachs. Please go ahead.
Andrew Lee: Hi everyone. I have two questions, one on corporates and one on consumer mobile. So on the corporate side, just trying to understand from what you've been saying, thanks for all the color you've given just how the underlying corporate trends are different in the fourth quarter than the third quarter. You basically said that there's no sign as yet that large corporates are going to stop sitting on their hands in terms of spend. Yet you're very confident on the IDS. A big step up in growth in the fourth quarter to hit your double-digit guidance. Can you just help us understand the difference or the balance between the two on your corporate growth and how we should think about that? And then just on consumer mobile, encouraging to hear from you, Topi, that we've seen less campaigning at the low end from your competitors in 4G in July and August. Just trying to think about how we -- how growth, mobile service revenue growth should trend in the fourth quarter. And how important essentially the price rises you put through in September were, i.e. given we should get a full quarter of that price rise impact in the fourth quarter, should we be anticipating an acceleration in mobile service revenue growth in the fourth quarter? Thank you.
Topi Manner: Yes, thank you. Thank you for those questions, Andrew. So starting on the B2B side and especially starting from the IDS, so on the short run on the three-month basis, we have a great degree of visibility to our order book both in the industry business and in the Polystar business. And we know our order intake, we are in constant close dialog with our customers and we know how their projects are proceeding. And our reiterated view and expectation that we will be seeing double-digit organic growth in IDS is based on this outlook. And then the risks that we have related to that outlook materializing are timing-related risks related to the customer projects of say, setting up a new semicon fab or refurbishing a new semicon fab, so that if the timing holds of those projects then we can account for the revenue for the sold software. And then this is something that we of course have carefully scrutinized. And our view and expectation is based on that granular outlook. So that is the situation with IDS. And then I stated, when we look at the B2B at large, then we will need to keep in mind that we saw positive EBITDA development in Q3 in comparison to Q2 and especially in comparison to the earlier quarters of this year and then also the quarters of last year. So high quality revenue in B2B space continues to increase. But at the same time, there is this phenomenon that companies are very focused on putting their full-year numbers in place and they are scrutinizing their IT spend, also some of their connectivity spend. In our home market of Finland, many, many bigger companies have also sort of recently communicated that they will be reducing people, and this is having some impact on our connectivity business. So that is the phenomenon that we saw during the Q3. Going forward, when we look into the next year, we expect that the decreased inflation numbers and decreasing interest rates will be improving the activity levels in the economy on the overall, and that will be also gradually reflected in the revenue numbers of B2B business. And then when we come to the consumer part of the question, I think that the very short answer to your question there is that we continue to expect to see mid-single digit growth in mobile service revenue. And majority of that growth will be coming from 5G upsells. And the 5G upsells will be complemented by the price increases that we did during the Q3. So there will be some support coming from those. But on the overall mid-single digit growth in our MSR going forward.
Andrew Lee: Okay, thanks, Topi. I mean, I guess that assumes an acceleration given your underlying growth was below 4% this quarter when you take out the product reallocation.
Topi Manner: Yes. I mean, the product reallocation and the impact of what we saw in the corporate numbers amounting to some 1% unit or little less than 1% unit is, you know, that is something that has been taking place during the course of this year.
Andrew Lee: Thank you.
Operator: The next question comes from Stefan Gauffin from DNB. Please go ahead.
Stefan Gauffin: Yes, hello. A couple of questions, please. And I'll start with looking at the product revenues and looking at fixed revenues, can you quantify how much lower equipment sales is over here and also low margin IT projects? And do you think we should see a similar situation into Q4?
Topi Manner: Jari?
Jari Kinnunen: Yes, there was a change in year-on-year comparison now in this quarter compared to what the situation was in Q2 year-on-year comparison. We also we did have one -- a bigger deal in Q2, 7 million in Estonia in corporate networks and equipment side. But even putting that aside, so there was less activities and less demand in that category. So that impacted to, if you take that 7 million into account and you compare to year-on-year trends, so that's the main change.
Stefan Gauffin: And no change expected, sort of near-term?
Jari Kinnunen: Yes, as Topi mentioned already overall economy and the demand being somewhat lower than we thought early in the year. So that's the situation at the moment. And we see that short-term not significantly changing. But of course, as the interest rates been reducing, inflation been reducing, we expect then going to the next year during the year that there will be improvement also in general economy and both segments, consumer and corporate and demand improving.
Stefan Gauffin: And then I just had a question on, you mentioned that you have introduced a loyalty program which I assume is to reduce churn. What are the benefits that you offer the customers to become more loyal?
Topi Manner: Yes, I mean the customer loyalty program launch has been really well received by our customers. We are actually the first telco in our home market to launch such a program. And I think that more widely in the Nordics and in Europe, we are the first or at least one of the first ones. And to your point, the logic with the loyalty program is basically to give benefits to our customers on the basis of the long duration of their customer relationship and incentivize to concentrate more of their business with us. And of course, we are aiming for increased loyalty, reduced churn with our customer base. And then when we know our customers better, when they give marketing consents for us, when they join the loyalty program, then we can also give more targeted, more personalized offers to our customers. And with that we expect to be able to increase the cross-sales for our customers. And as stated, we are incentivizing that cross-sales by giving benefits to our customers for the increased business that they have when they move up the loyalty program ladder to higher status. So that's it. And then in terms of the benefits, what needs to be understood is that our loyalty program is not a discount program. It is a benefit program. So when you, for example, get to the platinum level of our loyalty program, what you get is that you get sort of direct access to our customer service, basically no queuing, which is a very concrete benefit to many of our customers. You get free movies and benefits like that. You get tickets to football games because we are sponsoring the national football team and so on and so forth. So these are the kinds of benefits and incentives that we are -- rewards that we are giving to our customers for their continued loyalty with us.
Stefan Gauffin: Okay, sounds interesting. Thank you.
Topi Manner: Thank you for the question.
Operator: The next question comes from Oscar Ronnkvist from ABG Sundal Collier. Please go ahead.
Oscar Ronnkvist: Thank you. Hi everyone. Thanks for taking my questions. So just first wanted to get a sense of the weakness in domestic and other digital services. If you had any comments, except for the Viaplay discontinuation and the Videra deconsolidation. So I thought it was quite a big step down there as well. Any comments, please?
Jari Kinnunen: Yes, there was in Q2 a small divestment which is impacting. So we did sell eBook, our eBook service end of June. So there is negative impact in revenue in that line.
Topi Manner: Divestment is contributing positively to EBITDA.
Jari Kinnunen: Yes, that's slightly positive. Another thing is that domestic, other domestic digital services growth was positive, but it was slightly less positive compared to what the situation was in Q2.
Oscar Ronnkvist: Got it. Thank you. And just my next question on IDS. So you target very much of an improved growth in Q4. You also seem to have a little bit lighter comps. And you say that you have good visibility and a good order backlog. But just wanted to get a sense of this sort of development of the underlying demand for this. So you have been quite positive about the underlying demand for the last few quarters. Are you seeing that demand level increase or is this just due to lighter comps? And also that the timing of the launches, so to say, will support the organic growth numbers into Q4. Thank you.
Topi Manner: So in that space, I mean, our view of the underlying development, that -- is that development is -- the demand is improving in that space. Now we are talking about telco customers, we are talking about hi-tech customers like semicon industries. So they are seeing sort of gradually an improving economic outlook and they are gradually doing investment. So that is the underlying bit. But then we will need to take into careful consideration the nature of our business and the kind of software that we are delivering to our customers, especially in the semicon. We are providing manufacturing execution software, and our software is typically being installed to customers when they build new factories or when they refurbish old factories. And that timing element is something that needs to be understood. So when customers are proceeding with those projects, with the build of the factories, then it will be impacting when we can install our software. And once we have installed our software, then we can account for that revenue. So this timing impact is something that is impacting the business. And therefore, on short run, putting the underlying trend aside, there's bound to be a little bit more volatility in that business than we are seeing in other parts of our business.
Oscar Ronnkvist: Got it. Thank you. Just finally wanted to clarify something. So the increasing churn in Finland that was mainly on 4G customers, given the irrational behavior from your competitors, and not on the 5G side of things. Is that correct?
Topi Manner: Yes.
Oscar Ronnkvist: Got it. Thank you very much.
Topi Manner: Thank you.
Operator: The next question comes from Ondrej Cabejsek from UBS. Please go ahead.
Ondrej Cabejsek: Hi, everyone. Thank you for the presentation. I have one follow-up, maybe, and then a question. So in terms of just the market share, you mentioned several times on the call that you aim to kind of defend your market share. I was just curious because there's clearly one imbalance in an otherwise very well-structured market, which is around B2B, where your competitor clearly aims to gain market share. So how -- I'm just curious, were you referring to total? Were you referring to B2C, B2B? Like, what specifically market share are you aiming to defend? And is that a problem for maybe future growth when there is that existing imbalance? That's one question, please.
Topi Manner: Okay. Could you please repeat the question? There was a bit of echo on the line, so we heard that it was about market shares, but probably would be worthwhile repeating.
Ondrej Cabejsek: Yes. Is this better?
Topi Manner: Yes. Now better. Much better.
Ondrej Cabejsek: Okay. Apologies. So I wanted to ask about the market share comments that you made. You were keen on defending your position, and then I was just curious, looking at the structure of the market, clearly there is one imbalance in an otherwise very well-structured market, which is that DNA has got a lower market share in B2B, which they want to increase towards their B2C market share. So how -- what exactly where you referring to when you were speaking about defending your market share? And could that potentially be detrimental to I guess pricing is the question, please. Thank you.
Topi Manner: Okay. Thank you. Thank you. Now we got it. So, I mean, in terms of market shares, we will be keeping our market shares in mobile. That includes consumers, and that includes corporates alike. So that's where we are at this statement. And, I mean, if we look at the development during the past years on the Finnish mobile market, every once in a while there has been a situation when some of the competitors has tried to gain market share and then also potentially has used pricing for that. And in those situations, all the players have been basically keeping their market shares. So Elisa's market share over the years has been stable. And this is something that we continue to do going forward. The long trend on the market has been that Telia has been losing a bit. Elisa has been stable. DNA has been gaining a bit, with the expense of Telia. So that has been the dynamic on the market. And what we are seeing on the market currently is that in the 4G, we see active competition, and I stated some sporadic, irrational behavior. But at the same time, we see some competitors also having pretty much the same approach to price increases as we have been having. So a little bit sort of twofold observations on the market.
Ondrej Cabejsek: Thank you. Appreciate that answer. And if I may also, second question on CapEx, is there a bit of a breakdown that we can get, just to get a feel in terms of obviously you've got your recurring mobile, you've got your fiber, you've got your IT, and then this year and last year, I guess you've got your battery grid CapEx. So I guess the assumption is that CapEx sales goes back towards 12% from next year. But then just focused on the fiber acquisitions, like how much of your CapEx today is going into fiber. And is there a strategy maybe to kind of increase the footprint, not just organically, but clearly inorganically beyond the roughly 12% equivalent? Is that what's kind of going on now? And why is now a good opportunity? Because you mentioned there are a lot of opportunities in the market when it comes to certain parts of the country. So what is actually bringing up the opportunity? Is there just a lack of capital for some of these old bids or what's driving this opportunity? Thank you.
Jari Kinnunen: Yes, those -- that you mentioned, those are the biggest blocks in CapEx mobile, and especially, of course, 5G coverage extension continues. So we have very high population coverage. We continue with geographical coverage. fiber also is a big portion of the total CapEx. We have seen more customer demand recently, lately, and we are responding to that customer demand. And we announced already some time ago, that we will do €200 million investments over the years to fiber to answer that customer demand. And those acquisitions, fiber acquisitions, they are not part of the guided CapEx. They are outside of this 12% to 13% guidance.
Ondrej Cabejsek: And can I ask like what is driving the opportunity today in the market? And maybe is there a rough multiple that you can give us that you're acquiring these businesses for? Thank you.
Jari Kinnunen: Well, of course, it needs to be financially rational and we're looking, especially those situations where those assets are close to our existing fixed-line footprint. And mostly we are present in the biggest cities in Finland and covering almost half of the households in Finland with our fixed footprint.
Ondrej Cabejsek: Thank you very much.
Operator: The next question comes from Siyi He from Citi. Please go ahead.
Siyi He: Hello. Thank you for taking my questions. And I have two, please. The first one is actually a follow-up on Andrew's question earlier of fiber acquisition. I'm just wondering if you could give us an idea of how big you think the potential acquisition pool could be and maybe a clarification of whether -- whether that is full part of your €200 million investment you talk about fiber, or you expect that it's actually comes out in addition to that. And whether you can share with your potential budget on that as well. And, yes, I start with the first question. Thank you.
Jari Kinnunen: As I tried to say earlier, so these acquisitions, possible fiber acquisitions, they are not part of the CapEx, 12% to 13% CapEx guidance. And this €200 million that we announced already some time ago, that is organic investments. And these fiber assets that we've been acquiring, they are relatively small, varying, let's say from few millions to let's say €10 million or €20 million type of investments. And there are several of those kind of assets in different parts of the country. And when there is an opportunity to acquire those that are interesting for us with that kind of conditions that are feasible, then we look for those.
Siyi He: Thank you very much. Just a quick follow-up. I was wondering if you can comment, why do you see those assets now come up for sale? Is that particular reason or market dynamics shift on that?
Jari Kinnunen: Yes, well, those -- typically they are owned by, let's say in some occasions municipalities, for example. And then there might be situations where the customer acquisition has not worked well and there is room for improvement by selling the assets. And often also they are not core business of those type of owners that have been investing in those assets.
Topi Manner: Exactly. I think that what we are seeing on the market is that some of those companies who have been building fiber are starting to see that in order to get good take-up rates in fiber over time, well, you need sales force, you need distribution power, you need a good brand and trust from customers and you need capabilities to have good customer experience with even interconnection -- Internet connection related to the fiber. So that is I think what is underlying in this one. And this is something that we can offer to the market, we can offer to customers. And our integrated model of offering both the fiber as well as the Internet connection clearly works very well. We have satisfied customers and not the kind of customer service problems that some of the other players have, and they are sort of disconnecting the offering of fiber from the Internet connection.
Siyi He: Thank you very much. And my second question is really on the mobile and the 5G penetration. I think in the opening remarks you mentioned that customers are holding on to the handsets a little bit longer now. And also when we look at the penetration, the take-up rate of your 5G handset, it seems that the quarter-on-quarter growth also slowed down. That coincided with the take-up of the 200 million, sorry, 200 megabits -- over 200 megabits tariffs as well. That's also showed a little bit slow down. Just wondering, going forward how should we think about the penetration or take-up of the 5G tariffs? Do you think that we are actually entering into a period we could see a moderation on that take-up rate? Thank you.
Topi Manner: Yes. So first of all, I mean, when it comes to the take-up rate of our 5G subscriptions, I mean, it's not correct to say that, that would be slowing down. We saw a very, very small mild uptick during past quarter and now we are basically back on the same trend. So the same linear trend continues in that take-up rate, important to say. And then when it comes to the interval that customers are having in changing their devices, yes, that has been prolonged. This is something that we see internationally in many markets, especially in Europe, and that boils down to economic situation, the consumer confidence in many ways. But the 5G handset penetration is not a limiting factor in short run for our 5G upsells. So we see the 5G upsells continuing with the same trend going forward. And as stated, that will be the main driver of our mobile service revenue growth.
Siyi He: That's very clear. Thank you very much.
Operator: The next question comes from Adam Fox-Rumley from HSBC. Please go ahead.
Adam Fox-Rumley: Thank you very much. I had a couple of slightly longer-term questions, please. So firstly the Finnish regulator is proposing some deregulation of the fixed-line market, including the removal of SMP status in some areas. From what I could understand your response to the consultation, the consultation seems to be broadly supportive. But I didn't quite understand what your thoughts on the net impact on Elisa would be, because in some areas, I guess someone will be losing SMP, and I just -- I guess the balance of how that regulation is evolving would be of interest. The second question was on Polystar and its kind of medium-term outlook. We've had a couple of important Capital Markets Days for the sector recently. And I know that Deutsche Telekom is a customer of yours. When you're thinking about the way that network planning is being done within the sector at the moment, is there was a lot of discussion of that at that CMD. Is there a step change opportunity here for Polystar, or is it more that -- is there a risk that some of that work gets taken in-house or is done in-house and doesn't come to market effectively for Polystar? I'll stop there for a sec. Thanks.
Topi Manner: Okay. So if I start from the Polystar part of your question, yes, there's a lot of talk in the industry about network automization, and telcos moving forward in that one. And I think that, it's fair to say that we are really a frontrunner in network automization as Elisa. And therefore, also the offering that we have in Polystar is attractive to many telcos. The key competition in this space really is the in-house development by telcos, supported by system integrators. So that's where we are. But when we come back to some of our big telco customers and the various parts of our software suite that we are offering to those telcos, as I mentioned during the presentation, we have had -- for example, customer experience assurance deals with big telcos in multiple countries of their operation that we have recently renewed. And that customer experience assurance bit is a part of our software offering suite to telcos, which is needed for the normal operation of their network, but also can take height for further steps in network automation going forward. So in Polystar part of the business, it's very important for us to penetrate the customers with part of our offering and then we follow the land and expand model from there. So we are not seeing sort of big breakthroughs in this business. But what we are observing is sort of gradual, constant increase in the Polystar revenue, pretty much in line with what we have seen in the past. And then the first question was related to the regulation and the significant market power areas and the potential impact to our fiber business. We are observing that regulation. We do not see material impact coming out of this to our business.
Adam Fox-Rumley: Okay, thank you very much. I just have one final question if I may. Looking at history of your financial statements, typically Q4 EPS is €0.04 or €0.05 lower than it is in Q3. If that happens this year, you'll make basically €2.35 of EPS for the full year, which is where consensus is for the full-year dividend. So I suppose I'd like to hear that you're still comfortable with the full range of the payout ratio all the way up to 100% of earnings. And are you comfortable, are the Board comfortable with the current level of the dividend payout and the prognosis that consensus has in for its growth at this point in time? Thank you.
Jari Kinnunen: Yes, our distribution policy is 80% to 100% from previous years results. So there's no change to that. So still strong distributions to be seen.
Topi Manner: We will keep our dividend policy. We are known for being consistent in this.
Adam Fox-Rumley: Thanks very much.
Operator: The next question comes from Joshua Mills from BNPP Exane. Please go ahead.
Joshua Mills: Hi guys, and thanks for taking the question. My question was related to overall data demand in Finland, and I think the regulator commented recently that total data usage, in their view, had reached a bit of a peak, commenting that growth had slowed to about 5% in spring of this year. I'd love to hear a bit more detail on what kind of volumes and traffic you're seeing on your networks, and perhaps a bit of a comparison on how the growth rates have trended this year versus last year? And then any high-level views on how you think that could impact consumer behavior and pricing power in the market? I know you've got the unlimited tariffs there, but the slowing demand for data overall potentially put a cap on the price increases you can push through. Thanks.
Topi Manner: Just to understand your question, so was it related to the data volumes or was it something else?
Joshua Mills: Yes, data volumes. I think Traficon came out and said that they're seeing overall mobile data usage slow to about 5% year-on-year. And I'd like to hear how you're seeing that data volume growth in your own network at the moment. Thanks.
Topi Manner: Yes. So when we speak about data volume, and especially in the case of our home market, what you will need to remember is that the data consumption per capita in Finland is the highest in the world. And one of the underlying reasons behind that is that for years we have been offering unlimited data to our customers as part of our subscriptions, not only for a fraction of the customer base, but basically for 100% of our customer base. So that has been driving up during the past years, the data consumption in the market. And now what we are seeing is that data volume increase is -- the growth of that is being somewhat smaller than it has been in the past, which is understandable because the data consumption per capita already is so very high. And then I think that we will be having different factors at play in the data volumes. Like the anecdote that I shared about our entertaining services, the data compression that we did, reducing the data volume for that particular service with as much as 30%. So those kinds of things that improve the data efficiency and also the sustainability, when you scale that up to global level, then they will be impacting the data consumption going forward. And I think that is something that should be understood, that development, when also considering the sort of long-term view of CapEx in this industry.
Jari Kinnunen: And maybe adding to that, that the pricing model what we have it's unlimited and it is speed-based. And the speed is something what is valuable to customers, and that is the key to the upselling to higher speeds and premium pricing.
Topi Manner: Speed is the driver of upsells, so data volume increase does not directly correlate with our upsells opportunity.
Joshua Mills: Thanks. That's very clear. And on the CapEx points, it's an interesting point, but do you think going forwards, if volumes slow but the speed demand continue to increase, the net effect on where you can get your CapEx to sales to is broadly the same. Or is it a case that actually, you believe this trend might result in a structurally lower CapEx to sales ratio for mobile operators like yourself in the future?
Jari Kinnunen: Yes, so we have said 12% after this year is the CapEx to sales target. It's in our midterm financial target. So that's something what we consider going forward to be target level.
Joshua Mills: Great. Thank you very much.
Operator: The next question comes from Artem Beletski from SEB. Please go ahead.
Artem Beletski: Yes, hi, and thank you for taking my questions. So if I may start with your loyalty program, which was introduced in September. So what opportunities are actually seen there? Is it predominantly relating to cross-sell and opportunities on that front, or also that this has actually decreased churn also to any significant way, what comes to a customer base?
Topi Manner: Yes, I think that first and foremost it is about improving the customer experience. And it is a loyalty program, so it's designed to increase the loyalty of customers, meaning that there would be reduced churn. But that stated, when we know the customers better, when we can target more personalized offers to them, then we will be seeing also increase in the cross sales when we broaden our offering. And churn reduction and increased cross sales go hand in hand because when you have -- the more business you have with us as a customer, the more products that you have with us, then more ties that you have, then you have more ties with our company. And that basically highers the exit barrier for customers, improving their loyalty. And when we reward them accordingly, they want to stay with us, and we can also attract new customers with that. So this is the strategic rationale that we are having. And that, of course, is known from many, many other industries.
Artem Beletski: Yep, that makes a lot of sense. And then I had two housekeeping questions to Jari. So the first one is relating to tax rate outlook for this year. I think it has been roughly 20% year-to-date is the good number to be used in inter-modeling. And then what comes to machine-to-machine and IoT subscriptions, so good growth there is still continuing. Has there been any change what comes to ARPU levels, is it still a few euros on average what you have there?
Jari Kinnunen: Yes, for the tax rate, yes, using that is sort of good number. The current rate for the IoT subscription, ARPU, there's no significant change. So they are of course compared to voice subscriptions, they are very, very low ARPU subscriptions.
Artem Beletski: All right. That's clear. Thank you, Topi and Jari.
Topi Manner: Thank you.
Jari Kinnunen: Thank you.
Topi Manner: Thank you for the question.
Operator: The next question comes from Ajay Soni from JPMorgan. Please go ahead.
Ajay Soni: Hi, guys. Thank you for taking my question. And I had a couple. The first is around you mentioned the increase in consumer demand for fiber. And I know you've kind of touched on your fiber CapEx investment in the medium term. But is there scope that this can be upgraded if your consumer demand continues to increase here? And if you could just give some clarity on what percentage of your CapEx envelope is related to fiber roll out right now? And then just something more, around your 8,000 broadband net adds this quarter, how much of those related to the Kaizen acquisition in July and what is the annual revenue and EBITDA impact of this acquisition? Thank you.
Topi Manner: In terms of our CapEx envelope, we are not disclosing the breakdown of our CapEx envelope. But you know, much of the CapEx goes into network and into the fiber as well. Consumer demand is increasing. But if you look at what is happening in the country currently and also happening with us, the construction capacity of fiber built is the limiting factor. And therefore, the fiber built pipeline is basically sold out for a couple of years right now. So therefore, I think that what we are seeing in terms of the organic investments and what we have been communicating in terms of the organic investments to fiber, we will stick to that plan. And then, as we have been mentioning here previously, we are ready to buy readily built fiber assets on the market, because what we are seeing is that those are coming up for sale because many of the fiber owners are starting to see that they need distribution power in order to really get to the kind of take-up rates that generally would be needed to see in order to have profitability in the fiber investments.
Jari Kinnunen: And to your question for fiber acquisition and broadband subscription, so there was a few thousand addition from the acquisition and few millions in terms of revenue and slightly positive EBITDA.
Ajay Soni: That's great. Thanks very much.
Operator: The next question comes from Usman Ghazi from Berenberg. Please go ahead.
Usman Ghazi: Hi, thank you for taking my question. I have two, please. Firstly, on the sedApta acquisition, I mean, it's been kind of the largest bolt-on that you've done in several years. And I'm just wondering if there are any other kind of entities similar to this where you have a minority stake and you would like to buy in or with this kind of an unusually large kind of bolt-on. That was the first one. And then the second one is just a clarification please, on when you say that mobile service revenues growth is sustainable in this kind of mid-single-digit range, how do you define mid-single-digit, is it like 3% to 5%, is it 4% to 6%? I mean, could you give some clarification that would be helpful. Thank you.
Topi Manner: So mid-single-digit, if we start with that, I guess, the midpoint of single digits is 5. So we are talking about mid-single-digits. So we are talking around that. So I hope that clarifies. And coming back to the earlier question here related to the data consumption and the increase in data consumption volume, I would like to be very, very clear is that in this question you would need to really understand the specifics of the Finnish market that for long we have been offering unlimited data for our customers, for full customer base. We already have the highest data consumption per capita in the world. And our 5G upsells is not correlated with our customers' need to have more data. It's correlated with their need to have better speed, better resilience in their connectivity. And this is very, very important to understand when you consider the mobile service revenue development and when you compare that to other telcos in other markets where the circumstances differ. And then your first question about sedApta, I think.
Jari Kinnunen: I didn't hear that. Can you repeat?
Topi Manner: Could you please, repeat that question?
Usman Ghazi: Yes, the question was that this was quite a large bolt-on acquisition by Elisa. I mean, it's the biggest that I can see for the last several years. With the size of it -- should we consider the size of this as kind of the new normal or was this kind of an unusually large bolt-on activity for the IDS segment?
Jari Kinnunen: Well, to us that is clearly bolt-on. And so we have more than €3 billion balance sheet. So couple of tens of millions type of acquisitions are all bolt-on. And we already we did have 19% of this. So it's valued in the acquisition at €70 million EV for the 100%. And acquisition price is around €60 million. So it's not changing anything in the balance sheet. So that's what we are looking. So these kind of bolt-on acquisitions, which we've been doing in the past, varying from couple of millions to, let's say, several tens of millions.
Usman Ghazi: Got it. Thank you.
Vesa Sahivirta: Okay. Thank you for all questions. And thank you for participating in this event. We wish you a nice rest of the day and coming weekend. So, bye now.
Topi Manner: Thank you very much.
Jari Kinnunen: Thank you.